Katherine Tonks: Welcome, everyone. With me on the call today are John Evans, our CEO; and Mark Foley, our CFO. The results press release is available to download on our website, along with the presentation slides that we'll be referring to during today's call. May I remind you that this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties and assumptions. Similar wording is also found in our press release. I'll now turn the call over to John.
John Evans: Katherine, thank you and good afternoon everyone. I will with a summary of the second quarter of 2022 before passing over to Mark to cover the financial results. Turning to Slide 3. In the second quarter Subsea 7 delivered a strong performance Subsea and Conventional, whilst renewables was in line with expectations we communicated in June. Both our core markets improved during the quarter. In Subsea the industry supply chain challenges stabilized and tenders progressed resulting in an order intake of $2 billion and a book-to-bill of 2.1. In offshore wind, pricing and risk allocation have improved for recent tenders and we are preferred suppliers for projects worth over $1 billion. Turning to Slide 4, in the second quarter, we continued our sustainability strategy with a successful trial of biofuels on the Seven Oceanic. We are happy with the performance of the biofuels and are working with suppliers to evaluate how such fuels can be deployed at scale on a global basis. Turning to Slide 5, and an update on our largest contracts, in Turkey, the fast track Sakarya project has reached 50% progress. Most of the procurement is complete and deliveries to Turkey are on track. Shallow water pipelay commenced in the quarter. In Brazil, we continue to manage fabrication for the Bacalhau project and we are preparing for offshore operations starting later this year. At Mero-3 procurement has commenced. Additionally, our vessels were busy in the Gulf of Mexico on projects, including Anchor, Jack St Malo 4, Mad Dog 2, and Vito. In renewables we had installed 30 foundations and 21 cables for the Seagreen project by the end of June. Of the 114 jackets, 94 have been below to UK and the remaining 20 are currently signed off and ready for loadout from China. We remain on track to complete them late this year. We have also made progress installing cables of our second floating wind project Hywind Tampen. Turning to Slide 6, and I'll give you an update on the renewables contracts that we discussed in our trading updates in June. Both Formosa 2 and Hollandse Kust Zuid have made good progress against our revised schedule. To date 90% of the installation scope for Formosa 2 and 67% of Hollandse Kust Zuid is complete and they are on track for hand over to our clients in August and September as planned. As we announced in June, Seaway Strashnov will be completing for the summer campaign of Dogger Bank A&B in 2023, replacing the Alfa Lift. The increased installation time and extra cost associated with using Seaway Strashnov were reflected in June's guidance. Next turning to Slide 7. Last quarter, we outline our strategies for managing supply chain challenges related to raw material and inflation. In the past few months, pricing has stabilized albeit at a higher level and the normal tendering process has resumed. Our strategy taking back well before 2022 has been to protect our margins through back to back contracts, index linked pricing, and escalation mechanism. Wage inflation is also something that we are monitoring closely and have factored into our bids. Throughout this period, our strong collaboration and early engagement with both clients and our supply chain, have enabled us to navigate these challenges and continue to successfully tender, win, and execute projects. Turning to Slide 8 and the Subsea integration alliance, during Q2, we were very pleased to extend our relationship with Schlumberger for another seven years. As you know, the Alliance has been the cornerstone of our strategy to offer integrated projects in SUBSEA and thanks to a strong commitment from both sides, it has proven a success with major awards in Australia, Brazil, Senegal, and Turkey, as well as tiebacks in Norway and the Gulf of Mexico, our integrated backlog stands at around $2 billion today. We get very positive feedback from clients on this model of contracting and this is reflected in our served tender pipeline of which 50% relates to integrated projects. The Alliance has delivered an impressive performance through one of the industry's most challenging periods, and we look forward to reinforcing the success as the market improves. And now I'll pass you over to Mark to run through the financial results.
Mark Foley: Thank you, John and good morning everyone. I will begin the financial results review with some details of Group performance in the second quarter, before coming to the business units. Slide 9 summarizes the strong backlog position in the second quarter. Order intake was $2.1 billion equating to a book-to-bill of 1.6 times and backlog at the end of the quarter was $7.8 billion, the highest level since 2014. Order intake included new awards of $1.7 billion, including the Búzios 8 project in Brazil, the CLOV-3 project in Angola, and the TOPR and Ballymore projects in the Gulf of Mexico. These four new awards are attributable to the Subsea and Conventional business unit. In renewables, it was announced that Seaway 7 was a preferred supplier of the East Anglia Three and Seagreen 1A projects. These two projects have a combined value of over $1 billion, but will not be recognized in backlog until final contractual terms have been agreed and final investment decisions have been secured. Escalations of approximately $400 million comprising variation orders and contractual price escalations across several projects were largely offset by changes in foreign exchange rates, mostly due to the weakening of the Norwegian kroner and the Brazilian real against the U.S. dollar. This had an adverse impact of approximately $300 million on backlog. $2.5 billion in backlog is expected to be executed over the remainder of the year and $3 billion in 2023. Turning to Slide 10 and the headline results of the Group. Revenue was $1.2 billion, broadly flat year-over-year as we continued to execute our large EPCI projects in both Subsea and Conventional and renewables. Adjusted EBITDA of $144 million was up 48% compared with the prior year period and the margin increased to 10.7% from 7.5%. I will discuss the drivers of this change at the business unit level on the next few slides. Slide 11 presents the key metrics for Subsea and Conventional. Order intake was $2 billion equating to a book-to-bill 2.1 times resulting in a strong backlog of $7 billion. Revenue was $1 billion up 11% year-over-year reflecting good progress on the fast track Sakarya project, as well as our other large EPCI projects. Adjusted EBITDA was $171 million with a margin of 17.7% up from the 10.5% in the second quarter 2021. This higher profitability reflects strong operational performance and benefited from projects completed in the Gulf of Mexico and Saudi Arabia during the quarter. Select renewables performance metrics are shown on Slide 12. Order intake in renewables was light at $49 million taking the backlog to $800 million. As John and I have mentioned that during the quarter we were awarded preferred supplier status on several projects, and these figures showed in the backlog over the next six months. Revenue from renewables was $260 million, down 17% mainly reflecting the phasing of activity on the Seagreen project. The Seagreen, Hollandse Kust Zuid and Changfang and Xidao projects made notable revenue contributions in the quarter. The adjusted EBITDA loss was $49 million reflecting charges of $28 million and $34 million in relation to the Hollandse Kust Zuid and Formosa 2 projects respectively. Excluding these two charges, the adjusted EBITDA margin was 5%. Slide 13 shows the cash flow waterfall for the second quarter. Net cash generated from operating activities was $94 million, including a $63 million build in working capital. Cash conversion, measuring the conversion of adjusted EBITDA to adjusted operating cash was 88%. Net cash used in investing activities was $50 million, mainly attributable to purchases of property, plant and equipment, associated with vessel dry docks and upgrades. Free cash flow in the period was $42 million. Net cash used in financing activities was $72 million. This includes $32 million of dividends paid in May, $27 million of lease payments, mainly related to chartered vessels and $4 million related to the share repurchase program. At the end of the quarter, cash and cash equivalents was $464 million and net debt was $88 million, which included lease liabilities of $184 million. The Group's liquidity was $1.5 billion, which included $1 billion of committed undrawn borrowing facilities. In June the group entered into a $700 million multi-currency revolving credit and guarantee facility with a five-year tenure. The facility is available in a combination of guarantees up to a limit of $200 million and cash drawings or included for cash drawings. At the same time, the previous $656 million multi-currency revolving credit and guarantee facility was canceled. Lastly, in March, as part of our commitment to shareholder refunds, we announced a share purchase program of approximately $70 million. As of market closing yesterday $45 million or 64% of the $70 million has been utilized to repurchase 5.6 million shares at an average price NOK 75.4 per share. Subsea 7 holds 10 million shares of 3.3% of this issued share capital as treasury shares. To conclude the financial review, Slide 14 shows our expectations for the full year. As we announced in June, revenue and adjusted EBITDA are expected to be broadly in line with 2021. The net operating income is expected to be lower than 2021. We have updated our guidance regarding taxation to be between $50 million and $60 million, adjusted upwards from between $45 million and $45 million. The revision is driven by an increased level of activity and higher tax jurisdictions. There have been no other changes to the financial guidance since the first quarter 2022 presentation. I will now pass it back to John.
John Evans: Thank you, Mark. On Slide 15, we have a reminder of our capital allocation framework that you're probably familiar with by now. In the second quarter, we returned $32 million to our shareholders via cash dividend and we continued to progress through our $70 million allocated to share repurchases, which is almost 60% complete today. A key part of the framework relates to the funding strategy for renewables. Seaway 7 is making good progress in this respect and they expect to announce details of their financial structure in the third quarter. And now we'll move on to our usual outlook slides starting with the prospects in the Subsea market on Slide 16. Tendering remains very busy and we are confident in the outlook for new orders for the Group. Three regions, Norway, Gulf of Mexico and Brazil continue to be the most active markets, but there are early signs of improving activities in other regions with tenders added to this map in the UK and Morocco. After the quarter end, we announced our first award in Guyana for Exxon's gas energy project and we see further prospects in this region. Availability of our rigid wheel vessels is tight in 2024 and tightening in 25 and beyond, which is driving improved pricing for our EPCI services. Overall, we are encouraged by the way the recovery is progressive and remain confident in the outlook for Subsea and Conventional. On the next slide, we have our wind prospects, UK CFD allocation round, which took place in July after a one-year delay has finally unlocked prospects in its region and Seaway 7 is the preferred supplier on East Anglia Three, and Seagreen 1A. In addition, it is the preferred supplier on He Dreiht in Germany and the U.S. wind project. We expect this pre-backlog to convert to firm awards toward the end of this year and early next year, adding visibility to our fleet utilization into 2025. Before I wrap up, a quick look at a different type of project. In May, we published Inspiring People-The Subsea 7 Story, which celebrates 20 years with our company and 75 years of history of the predecessor companies that are part of Subsea 7 today. It is full of stories and photographs taken from our rich heritage of entrepreneurial spirit, adapting innovation and endeavor. From the industry's first purpose built pipelay barge, the L.E. Minor to Angola’s first seaboard project at [indiscernible], the book shares memories, anecdotes and insights from our founders and executives who spent their career shaping the industry. The link to the online version is on this slide. I hope you'll read it and enjoy learning more about the people, companies and projects that have made Subsea 7 seven the world class energy service contractor it is today. And so to close, we turn to Slide 19. In Subsea, the post COVID recovery has been reinforced by the west drive for energy security. Our core markets remained strong and we are beginning to see the uplift of activity spread into other regions. Prices are improving and the supply chain is stabilized. In fixed offshore wind, our prospects are maturing with over $1 billion dollars of pre-backlog to be converted to firm orders in the coming six months. The market for our services is tightening, and this is driving an improvement in pricing and risk allocation. To conclude, our backlog is at a seven-year high. Our tendering teams are busy and we are well placed to deliver a combination of long-term growth and capital returns for our shareholders. And with that, we'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Kévin Roger. Please go ahead, your line is open.
Kévin Roger: Yes, good afternoon. Thanks for taking the question. And the first one is related to the Subsea business. So you add very good performance in Q2 almost 18% margin and what we consider the once in time as a kind of close to normalized margin at Subsea 7. So would you consider this performance in Q2 as repeatable in the short term, or you consider it more as a kind of one off? And the second one is related to the Subsea, in the presentation you mentioned that basically the backlog is back to the record level that you had in 2014, so back to the level of that time. So here again, how we, I’d say close to the revival of the performance that you had at that time, please?
John Evans: Yes, thank you Kevin. Thanks for your questions. As we've always said to everybody that follows us, it's best to look at us over a year and we've guided for where we want to be for the year. So I don't expect Q2’s performance to be repeated regularly throughout the rest of the year. And we did say in our prepared remarks that we had very good operational performance across the suite of projects that we have as well as some commercial settlements in some regions as we closed out certain projects. In terms of longer-term, the position that we're in, yes, we have a good backlog, but I think we have guided a number of times that we expect our profitability to improve from the second half of 2023, and then work its way back towards more normalized positions in terms of expectations for profit. So for us, we are bringing in the backlog, which is good. We'll be liquidating it starting back end of this year and we do expect from the middle of next year to see an improvement in our profitability.
Kévin Roger: Okay, I understand. And if maybe I can add one, I don't know if you will prefer to keep this question for the call of Seaway 7, but recently and not the first project in the U.S. transport addition, I was wondering if you can give us a bit some visibility on how you would execute the project in a way to concern potentially the Jones act, et cetera, because execution in the country can be largely let's say damaged by a Jones act, et cetera.
John Evans: Yes. We can't announce which project it is at the moment, because our client has s asked to keep that confidential. But it will be cable lay work and again, we have worked on cable lay activities in the U.S. in the past. We did the main demonstrated project in East Coast U.S. a couple of years ago. As you know, Subsea 7, the parent has been in the U.S. for nearly 40 years. So we're very, very familiar with the Jones act. And you know, our us team has worked very closely with the Seaway 7 team to make sure that we pitch our bid and our offering fully in compliance with the Jones Act.
Kévin Roger: Okay. Okay, perfect. Thanks a lot for that.
Operator: Thank you. We will now take our next question, please. Stand by. Next question is from James Thompson from JP Morgan. Your line is open, please go ahead.
James Thompson: Great, thanks. Thank you very much for the presentation. Just a couple of questions from me, please. Firstly just on the renewables business, I was quite interested to understand of the kind of pre-FID projects. You know, what sort of revenue expectations can we expect for them in 2023? You know, I know you've only got only around a $100 million, $150 million of revenues in hand for that division at this point in time, so just to understand how much influence the large projects that are there and ready how much influence they can have on next year? And then secondly, in terms of your discussions around pricing and the kind of overall environment actually improving for tendering discussions and things like that, I was particularly interested in some of the challenges in the supply chain kind of moderating. John, I was wondering if you could just put some more color behind that really, how sustainable is that improvement and just to help us understand where the kind of better conditions are really appearing from a supply chain perspective, particularly?
John Evans: Okay, James, thank you. I'll take the supply chain one first and come back to the renewables. I guess when we spoke at the end of Q1, the market was still very much bouncing around from the Russia-Ukraine issues, and it was quite difficult at that point to get guaranteed slots and guaranteed pricing in the market to allow us to progress with our clients towards surety on project. What we have seen from about early May was that the relevant markets such as steel and stainless steel and some of the input materials that we need, at least our suppliers and their sub-suppliers were finding a way of being able to give us the surety that we needed. As I said, in the prepared remarks, the, the costs are higher. So this isn't the problems have all gone away. Certainly the costs are higher, but the surety on production slots and availability of materials has become easier from around early May, which has allowed us to progress to close things like Búzios 8, CLOV-3 as Mark mentioned in his prepared remarks. So, it's not all back to normal and all the problems have gone away, but there is a way through the mechanisms that I discussed in my prepared remarks about index linked pricing and such like that there is a way to pass those elements through to our clients for then to make decisions that they want to proceed with their projects with surety around how we would evaluate price, how we would adjust the prices as the project moves ahead, but also more importantly to get the production slots and the raw materials available. So please don't take it that everything is sorted, but we have found a form of equilibrium that does allow the industry to contract as you've seen the backlog in our sector has been quite good across the board in quarter two. In terms of renewables, the two main projects are subject to an FID by our clients. So we have those steps to proceed, but the clients are progressing down those parts. Our project for [indiscernible] East Anglia is a transport and install project in the outer years. So I think that the contribution for 2023 would be relatively low. It would be basic engineering and installation activities. Seagreen 1A is an epic. So there will be procurement, fabrication, cable manufacturer and such like for 1A. So two different projects, two different contracting models, and that's what we should expect working our way into 2023.
James Thompson: Okay. So you will get some contribution from that, but I guess it can be down here from a revenue perspective. Thanks very much. I appreciate the answers. I will had over.
John Evans: Thank you.
Operator: Thank you. We will take our next question, please stand by. Our next question is from Nikhil Gupta from Citigroup. Please go ahead. Your line is open.
Nikhil Gupta: Hi. I have a question on the bidding pipeline. So clearly, around the commentaries that the pipeline is increasing, I wanted to understand how much of the increases compared to say, six months back, how much was increases due to inflation and how much increase is due to the additional work or newer projects, so any kind of guidance or colors there?
John Evans:
Petrobras: Guyana continues to have further opportunities, which will come into the market. And last but not least, and we've discussed this a number of times, we do expect Norway to turn a number of opportunities where we are the preferred bidder into firm or awards for us on quarter four or early quarter one of next year. And that's all to do with our clients getting their paperwork in and their regulatory requirements in to make sure they are having their approvals in by the end of this year. So we do expect Norway to turn in that way as well. So to answer your question, yes, there's inflation in the cost number, which is working its way through, but there is a pretty solid demand. The other thing in the prepared text, we can see things picking up slowly in the UK. We've seen projects like Jack and approvals, so the UK is starting to move and that's been a good market for us over the years. And we're also pleased to see the Subsea integration Alliance working with Chariot in Morocco on an exclusive basis to try to assist them, getting their Moroccan opportunity up and running. So there are new regions and new opportunities starting to come there as well. So a bit of both, I think, is the answer to your question.
Petrobras has been: Guyana continues to have further opportunities, which will come into the market. And last but not least, and we've discussed this a number of times, we do expect Norway to turn a number of opportunities where we are the preferred bidder into firm or awards for us on quarter four or early quarter one of next year. And that's all to do with our clients getting their paperwork in and their regulatory requirements in to make sure they are having their approvals in by the end of this year. So we do expect Norway to turn in that way as well. So to answer your question, yes, there's inflation in the cost number, which is working its way through, but there is a pretty solid demand. The other thing in the prepared text, we can see things picking up slowly in the UK. We've seen projects like Jack and approvals, so the UK is starting to move and that's been a good market for us over the years. And we're also pleased to see the Subsea integration Alliance working with Chariot in Morocco on an exclusive basis to try to assist them, getting their Moroccan opportunity up and running. So there are new regions and new opportunities starting to come there as well. So a bit of both, I think, is the answer to your question.
FPSO: Guyana continues to have further opportunities, which will come into the market. And last but not least, and we've discussed this a number of times, we do expect Norway to turn a number of opportunities where we are the preferred bidder into firm or awards for us on quarter four or early quarter one of next year. And that's all to do with our clients getting their paperwork in and their regulatory requirements in to make sure they are having their approvals in by the end of this year. So we do expect Norway to turn in that way as well. So to answer your question, yes, there's inflation in the cost number, which is working its way through, but there is a pretty solid demand. The other thing in the prepared text, we can see things picking up slowly in the UK. We've seen projects like Jack and approvals, so the UK is starting to move and that's been a good market for us over the years. And we're also pleased to see the Subsea integration Alliance working with Chariot in Morocco on an exclusive basis to try to assist them, getting their Moroccan opportunity up and running. So there are new regions and new opportunities starting to come there as well. So a bit of both, I think, is the answer to your question.
Petrobras: Guyana continues to have further opportunities, which will come into the market. And last but not least, and we've discussed this a number of times, we do expect Norway to turn a number of opportunities where we are the preferred bidder into firm or awards for us on quarter four or early quarter one of next year. And that's all to do with our clients getting their paperwork in and their regulatory requirements in to make sure they are having their approvals in by the end of this year. So we do expect Norway to turn in that way as well. So to answer your question, yes, there's inflation in the cost number, which is working its way through, but there is a pretty solid demand. The other thing in the prepared text, we can see things picking up slowly in the UK. We've seen projects like Jack and approvals, so the UK is starting to move and that's been a good market for us over the years. And we're also pleased to see the Subsea integration Alliance working with Chariot in Morocco on an exclusive basis to try to assist them, getting their Moroccan opportunity up and running. So there are new regions and new opportunities starting to come there as well. So a bit of both, I think, is the answer to your question.
Nikhil Gupta: Thank you. I'll turn it over.
Operator: Thank you. [Operator Instructions] Next question is from Haakon Amundsen from ABG Sundal Collier. Please go ahead. Your line is open.
Haakon Amundsen: Yes, hello guys. Two questions from me please. First one, sorry if I missed this in the prepared remark, but I was wondering if you can give an update on the working capital development you expected during the year, if there is any changes to that from the last time you guided? And secondly, if you can give some color on, you know, it looks like your project execution in offshore wind is quite different from in oil and gas, your Subsea and Conventional business. I’m just wondering if you can give some color on what is now changing in offshore wind, are you getting the same kind of escalation, inflation protection, other kind of project elements and pricing elements into those contracts, is that what's improving? Thank you.
Mark Foley: Good morning, Haakon. This is Mark. Yes, I'll take the working capital item. So in Q2 working capital was $63 million, but it cost working capital build in the first half of the year of $96 million. Expectation remained intact with the guidance that we previously communicated to the market, but we expect the working capital build this year to be in the region of the low to mid $100 million dollars. The drivers behind that are the projects that we acquired into the backlog in certain jurisdictions, Brazil [indiscernible] with Saudi Aramco in Saudi Arabia where the profile of payments were somewhat more adverse than customer experience elsewhere within the portfolio. So working capital guidance remains intact.
John Evans: Thank you, Mark. On the renewables, I guess the renewables there's two different areas for us to think about. One is risk allocation and the industry I think is having a long, hard look at risk allocation. And we could have taken a lot more awards in the first six months of this year and you can see that Seaway sends over intake. The first six months is quite thin because we have been much clearer now about getting those risk allocations correct. So, first of all, it's about getting the balance of risk, right for the awards that we get out of the projects. Secondly, renewables is all about production, repeat production over and over and over again. Whereas a SURF project is multiple work places, multiple tasks, multiple type of activities and therefore then if there's any issue on your productivity delivery, it doesn't repeat 300 times or whatever when you got 300 poles to put in on an offshore wind project. Lastly, in Seaway 7s case, as we communicated in June, the Alfa Lift was being further delayed in China in terms of the mission equipment and the delivery of that and therefore then we've had to put the Seaway Strashnov to work on [indiscernible] next year, which again has a different efficiency factor. And therefore then there are increases there, so three different elements, which are very different from the oil and gas.
Stuart:
Haakon Amundsen: All right, that was very helpful. Thanks, that's it from me.
John Evans: Thank you, Haakon.
Operator: Thank you. There are no further questions. Speakers, please continue.
John Evans: Okay, well thank you very much. I appreciate everybody joining. We know it's a very, very busy day today. I'm sure we'll talk to you offline and we look forward to catching up with you in our Q3 results later this year. Thank you very much.
Mark Foley: Thank you. Goodbye.